Operator: Good morning, and welcome to the Archer Daniels Midland Company Fourth Quarter 2017 Earnings Conference Call. All lines have been placed on a listen-only mode to prevent background noise. As a reminder, this conference call is being recorded. I would now like to introduce your host for today's call, Mark Schweitzer, Vice President-Investor Relations for Archer Daniels Midland Company. Mr. Schweitzer, you may begin.
Mark Schweitzer - Archer-Daniels-Midland Co.: Thank you, Jack. Good morning, and welcome to ADM's fourth quarter earnings webcast. Starting tomorrow, a replay of today's webcast will be available at adm.com. For those following this presentation, please turn to slide 2, the company's Safe Harbor statement, which says that some of our comments constitute forward-looking statements that reflects management's current views and estimates of future economic circumstances, industry conditions, company performance, and financial results. These statements are based on many assumptions and factors that are subject to risks and uncertainties. ADM has provided additional information in its reports on file with the SEC concerning assumptions and factors that could cause actual results to differ materially from those in this presentation and you should carefully review these assumptions and factors in our SEC reports. To the extent permitted under applicable law, ADM assumes no obligation to update any forward-looking statements as a result of new information or future events. On today's webcast, our Chairman and Chief Executive Officer, Juan Luciano, will provide an overview of the quarter. Our Chief Financial Officer, Ray Young, will review financial highlights and corporate results, as well as the drivers of our performance in the quarter. Then, Juan will provide an update of our 2017 calendar year results, the progress of our strategy, and discuss our forward-look. And finally, they will take your questions. Please turn to slide 3. I will now turn the call over to Juan.
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Thank you, Mark. Good morning, everyone. Thank you, all, for joining us today. This morning we reported fourth quarter adjusted earnings per share of $0.82. Our adjusted segment operating profit was $793 million. First, I want to report that in the fourth quarter of 2017, we delivered the best quarterly employee safety record in our company's history. And in 2017, we have three separate months in which we achieved employee safety records. These are not minor or ancillary achievements. We, of course, value safety for its own sake, and we see that going hand-in-hand with overall performance. We ended 2017 with a solid fourth quarter. We pulled the levers that were under control, including cost and capital initiatives and interventions throughout the year to help us deliver value for shareholders. For 2017 as a whole, we delivered double-digit adjusted earnings growth, improved returns on invested capital, and generated positive EVA. And given our solid cash flows, earlier this morning we announced a dividend increase of $0.015, or 4.7%. Looking forward, we continue to focus on our own actions to be the drivers of our success. Our increasing international presence and expanding capabilities in areas such as destination marketing, food and beverage innovations, and health and wellness, all help to position ADM for continued growth and value creation as we implement our strategy. All of these factors lead us to be optimistic about 2018. When I look at ADM today, I see a company that is poised to capitalize on macro trends, harvest our recent investments, and reap even more benefits from our actions. Later on this call, I'll discuss further the outlook for our businesses. Now, I'll turn the call over to Ray.
Ray G. Young - Archer-Daniels-Midland Co.: Thanks, Juan, and good morning, everyone. Slide 4 provides some financial highlights for the quarter. Adjusted EPS for the quarter was $0.82, up from the $0.75 in the prior year quarter. Excluding specified items, adjusted segment operating profit was $793 million, down $34 million from the year ago quarter. Excluding the effects of U.S. tax reform, the effective tax rate was 24% for the quarter and year, below our forecasted annual tax rate of approximately 28% due to favorable discrete tax items. The effective tax rate for the fourth quarter was a positive 46% and includes a net estimate benefit from U.S. tax reform of $379 million. This benefit is comprised of a $528 million benefit from rerating of deferred tax assets and liabilities to 21% and a $369 million repatriation tax partially offset by $220 million benefit from releasing previously recorded deferred tax liabilities. Looking forward into 2018, we expect the effective tax rate for ADM before discrete tax items to be in the range of 20% to 23%, down from the 28% to 30% level that we have previously communicated to you as our historical effective tax rates range. Our trailing four quarter adjusted ROIC of 6.4% is 40 basis points above our 2017 annual WACC of 6.0%, thus generating positive EVA of almost $100 million on a four quarter trailing average basis. On chart 18 in the Appendix, you can see the reconciliation of our reported quarterly earnings of $1.39 per share to the adjusted earnings of $0.82 per share. For this quarter, we had an $0.08 per share charge related to asset impairments restructuring activities and settlements, and a net positive benefit of $0.65 per share related to U.S. tax reform. Slide 5 provides an operating profit summary and the components of our corporate line. Before discussing the operating results, I'd like to highlight some of the corporate items affecting our quarterly results. In the corporate lines, net interest expense for the quarter was relatively flat at $78 million. Looking ahead, we're projecting net interest expense for calendar year 2018 to be relatively similar to the $310 million we recorded in 2017. Unallocated corporate costs of $94 million were down versus the prior year, largely due to lower spending for special projects, reduced employee costs, and the lack of an expense in the year ago quarter related to an investment in a corporate initiative. For 2018, we're expecting unallocated corporate costs in the range of the $140 million per quarter guidance that we provided to you for 2017 calendar year, with the company reinvesting in R&D, innovation, and readiness and business transformation activities that we deferred from 2017. Minority interest and other charges increased by $50 million, primarily due to the lack of a $38 million benefit in the year-ago quarter from an OPEB curtailment gain related changes to benefit plans. Turning to the cash flow statement on slide 6. We generated $1.9 billion from operations before working capital changes, just down slightly versus the prior year. We had favorable changes in working capital of about $300 million, compared to a large use of working capital last year. So our operating cash flows, including working capital, were much higher than the prior-year period. Total capital spending was approximately $1 billion, in line with our recently updated expectations for the year. Looking ahead, we're planning for a reduction in capital spending in 2018 to approximately $800 million, as we expect to start harvesting the benefits of our recent investments. We invested in various acquisitions amounting to $187 million. We returned approximately $1.5 billion of capital to shareholders throughout the year through dividends and share repurchases. We spent approximately $750 million to repurchase shares, less than the beginning of the year guidance, as our leverage and credit metrics approach our desired ranges. For 2018, we do expect to repurchase shares at least at the level to offset dilution from benefit plans, and potentially more, subject to the strength of our operating cash flows and other uses of cash. All this will be in the context of our capital allocation framework. Our average share count for the quarter was 565 million diluted shares outstanding, down approximately 16 million shares from the beginning of this year. Slide 7 shows the highlights of our balance sheet as of December 31, 2017 and 2016. Our balance sheet remained strong. Our operating working capital of $7.4 billion is basically in line with the year ago period. Total debt was about $7.5 billion, resulting in a net debt balance, that is debt less cash, of $6.7 billion. We finished the year with a net debt to total capital ratio of about 27%, a comfortable solid ratio for an investment grade company in this industry. Our shareholders' equity of $18.3 billion was up from the $17.2 billion level last year, primarily due to changes in the currency translation count as non-U.S. currency strengthened against the U.S. dollar. We had $5.5 billion in available global credit capacity at the end of December. If you add the available cash, we had access to $6.3 billion of short-term liquidity. Next I'll discuss our business performance for the quarter on slide 8. In the fourth quarter, we earned $793 million of operating profit excluding specified items, down from the $827 million in last year's fourth quarter. For 2017 calendar year, despite some difficult operating conditions, our calendar year adjusted segment operating profit of $2.7 billion was slightly higher than 2016. Now I'll review the performance of each of the segments. Starting on slide 9, Ag Services results were up over the prior year period. Merchandising and Handling was up year-over-year. Our Global Trade team executed well, delivering positive results for the third consecutive quarter, and we are continuing to see good contributions from our investments in destination marketing, including in Egypt and Israel, where we have expanded our capabilities in recent years. Merchandising and Handling results were also positively impacted by insurance claim settlements with our captive insurance operations and other income in the quarter. In North America, we continue to see a lack of competitiveness for U.S. grain exports, which negatively impacted both volumes and margins. Transportation results decreased from their prior-year period due to lower barge loadings and freight values. Icy conditions towards the end of the quarter also impacted river traffic. Milling and Other earnings were down year-over-year due to lower volumes and margins. Now turning to slide 10, Corn Processing had a solid quarter, with higher results over the prior-year period. Sweetener and Starches delivered another strong performance in the quarter, with good sales growth and solid margins, particularly in our North American liquid sweeteners business. Our European operations, which we expanded significantly in recent years, including with the recent acquisitions of Chamtor, continued to deliver good results. Bioproduct results were down compared to the prior-year period. Ethanol industry margins were lower, as production pushed stocks higher. However, the team's strong risk management execution offset a significant portion of these negative impacts. Animal Nutrition was significantly higher than the year-ago quarter, as ongoing efforts to improve our cost positions in the specialty feed ingredients business continued to bear fruit. Turning to slide 11, Oilseeds Processing results were down compared to the fourth quarter of last year. Crushing and Origination was down versus the fourth quarter of 2016. Crush volumes were strong, although margins were weak globally. Throughout the quarter, we continued to see the indicators of improving global demand for soybean meal as the effects of alternate proteins diminished and livestock numbers continued to increase. Therefore, we saw margins trend up late in the fourth quarter. Weakness in South American Origination margins and volumes negatively impacted results. Refining, Packaging, Biodiesel and Other results were lower versus the fourth quarter of 2016 due primarily to the lack of the biodiesel tax credit in this year's results. Refined and package oils delivered a solid quarter, benefiting from improved volumes in all regions and a solid margin environment. Asia was up slightly over the prior year period on the Wilmar results. Now onto slide 12, the WFSI team turned a solid quarter, with results up over the year-ago period. WILD Flavors delivered double-digit operating growth, driven by sales increases across all regions, as well as some margin improvements. Specialty Ingredients results were up versus a difficult year-ago period. The business continues to see the benefits after significant self-help actions throughout the last year, including improved inventory management and innovation in finding new uses for products. We saw margin improvement in several businesses in the quarter, particularly natural health and nutrition and the benefits from improved cost positioning in proteins. Now, I'd like to turn the call back over to Juan. Juan?
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Thank you, Ray. Please turn to slide 13. I'd like to take a moment to reflect a little bit about 2017 as a whole, how we advanced our strategy, how we took important measures to improve execution and control costs and capital, and how all of our actions helped contribute to our results for the year. We finished 2017 with adjusted EPS 12.5% higher than 2016, with higher adjusted operating profits for the full year than 2016, with solid operating cash flows, and with returns on our invested capital well-above WACC resulting in positive EVA and shareholder value creation. All told, our team achieved almost $400 million of monetizations in 2017, grew sales in targeted areas by more than $500 million, generated $285 million of run-rate cost savings, and returned $1.5 billion of capital to shareholders. As I mentioned earlier, we had our best quarterly employee safety record ever. In addition, December was the safest month we've ever recorded and two other months in 2017 rank among our very safest. And we did this all while still remaining true to the value creation strategy we set out in 2014 by enhancing our core, advancing readiness, and growing strategically, particularly in the parts of our value chain that are closer to the end customer. I'm proud of our team for continuing to focus on our strategy, even while managing the day-to-day execution that is so critical for our success. We've been consistent in running our business today and positioning our business for tomorrow and beyond. For example, in our first strategic pillar, enhancing the core, each business contributed, making sure they were investing time and money as efficiently and effectively as possible to deliver value day-in and day-out. Ag Services divested our Crop Risk Service business and took aggressive actions to strengthen execution in our Global Trade operations. Our Corn team has delivered important yield and productivity improvements in lysine, resulting in a turnaround of that business. Oilseeds announced the sale of our Bolivian Oilseeds operations and worked hard to diversify our oil streams into a wider variety of products to help capture steady margins. WFSI continued to deliver sales synergies throughout 2017, with a pipeline of more than 2,000 individual projects. And our second pillar, enhancing readiness, is one that is a little bit more behind the scenes, but is critical to our success. We had some important readiness accomplishments in 2017. We have rolled out our 1ADM business transformation project across several of our business and regions, as we continue to standardize our business processes around the globe. We are pleased with the results we're seeing with 1ADM, and looking forward to continuing rollouts throughout 2018. Our operational excellence efforts have yielded important improvements as we leverage technology and best practices to reduce energy intensity, improve yields, and streamline processes. Each business contributed to the impressive run-rate cost savings we delivered in 2017. Our Corn team is advancing their performance excellence initiative, a rigorous program that is empowering, engaging and, enabling frontline colleagues to help improve and standardize processes across the business. Two plants have completed the first year of this program and we plan to launch it in several other locations this year. In our third pillar, strategic growth, we have continued to invest to grow our capabilities further down the value chain. Our Ag Services business continued to enhance its ability to offer end-to-end solutions for customers with investments in destination marketing, particularly our new ADM Israel joint venture. For the year, the team delivered 20% growth in destination market in volumes. The Corn team continued to expand its global Sweeteners and Starches footprint with the acquisition of Chamtor in France and enhancements at our former Eaststarch facilities in Turkey and Bulgaria. We're also continuing to build our animal nutrition capabilities, including new feed pre-mix facilities in China and we entered the pet treats business with the acquisition of Crosswind Industries. WFSI opened innovation centers in China, Australia, and just a couple of weeks ago Singapore. This state-of-the-art research and development facilities allow ADM scientists to work hand-in-hand with food and beverage customers to meet all of their needs for taste, nutrition, function, and texture. We acquired Biopolis and entered to a research agreement with Mayo Clinic, both of which expanded our capabilities in the important and growing area of personalized nutrition, probiotics and prebiotics that may improve digestive health. And we are expanding our bioactives capabilities in the animal health and nutrition markets as well by entering into a joint development agreement with Vland Biotech in China to develop and commercialize enzymes for animal feed. In the coming months, we'll be opening up a new research lab in California to support that work. Our team has delivered substantial achievements in advancing our strategy, while balancing the pace of investment with our disciplined approach to returns and delivering current value for shareholders. We are very focused on returns and cash flows. We generated almost $2 billion of operating cash flows in a period when margin conditions in many of our businesses were at the lower end of their historic ranges. That is why we are confident about increasing our quarterly dividend by almost 5%. We are proud to have increased dividends for more than 25 consecutive years and issued more than 86 years of uninterrupted dividends. By executing our strategy and being disciplined about our capital allocation framework, we are delivering value today, even while we're building for a bigger, even better tomorrow. Before we take your questions, I would like to offer our outlook for 2018. We're looking to take the momentum that we have generated through the actions we implemented in 2017 and continue strong in 2018. Between our strategy, our execution in all three of our pillars, and the benefits of tax reform, we are looking forward to a good year as our strategy continues to unfold throughout the next several quarters. Let me talk for a moment about the first quarter. In Ag Services, we're planning for continued opportunities in Global Trade and destination marketing. The South American crop will be moving into global markets, which will impact the competitiveness of U.S. agricultural exports. We expect Ag Services' Q1 performance to be largely in line with the prior-year period. In Corn, margins in the Sweeteners and Starches business, as well as in ethanol, will experience normal seasonal patterns during the quarter. Animal Nutrition should see stronger results thanks to revenue growth and improved cost positions. Altogether, we think we are likely to see a first quarter for Corn that is in line with the prior-year quarter. In Oilseeds, we're optimistic about the recent movements in crush, as the margin outlook is positive due to increasing demand and improved trade flows. We are planning for continued strong results from our RPBO businesses, although the status of the U.S. biodiesel blenders' credit creates uncertainty in biodiesel margins. We expect Q1 in Oilseeds to be lower than the first quarter of last year. In WFSI, we are planning for Q1 results similar to the strong first quarter of 2017 as Campo Grande ramps up and we continue to see solid sales and earnings growth from WILD. Looking to the full year, although we continue to see certain green shoots, we are planning conservatively. Hence, we continue to focus on the levers we can control. We have a good base from this quarter and this year in which to build, and we are looking for a year of solid earnings and EPS growth. Here's how I think about growth from the perspective of four components. First, as you might recall, we took actions earlier in 2017 to fix what we call leakages, things we did not do as well as we should. We're seeing the results of our initiatives to end those leakages, and this will benefit our earnings in 2018. There are probably about $100 million of leakages that impacted 2017 results that should be mitigated in 2018. Second, we will continue to reduce costs. We'll see the results from the run-rate cost savings we achieved last year, and we'll take additional readiness actions. We have set the target for $200 million in new run-rate savings by the end of 2018. Third, we will benefit from our growth initiatives. We'll see the full-year results of the investments we made in 2017, and all four businesses will continue to invest in new growth both organically and through M&A, particularly on the right-hand side of the value chain. And finally, we will see the benefits of lower tax expense from U.S. tax reform. That is why I feel optimistic about 2018. We're going to continue to execute and we're going to continue to grow earnings, improve returns, and generate value for our shareholders. And I also feel good about our future beyond 2018. Whether we think about feeding a growing population or the clean labels and natural solutions that are in high demand today, or consumers looking for proactive approaches to health and nutrition, we are very well positioned to deliver and create value. So before we open up the call for questions about our results, I want to make one final comment. Obviously, we are well aware of the recent stories in the press about ADM and Bunge. As we move to Q&A, I'm sure you understand that we're not going to comment on these sort of matters, but we do look forward to taking your questions about our earnings and forward outlook. So, Jack, please open the line for questions.
Operator: Thank you. Your first question comes from the line of Ken Zaslow with Bank of Montreal. Your line is open.
Kenneth Zaslow - BMO Capital Markets (United States): Hey. Good morning, everyone.
Ray G. Young - Archer-Daniels-Midland Co.: Good morning, Ken. How are you?
Kenneth Zaslow - BMO Capital Markets (United States): Good. A couple questions. One is, when you talk about the outlook of your businesses, the first quarter seems to be a little bit lighter than last year, but yet you're talking about growth. Where do you see – which divisions do you expect to see the greatest degree of growth from to be able to offset some of the weakness in the first quarter, and how is that going to develop through the year? And then I have a follow-up.
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Yeah. Thank you, Ken. I think we see WFSI should have a very good year. At the last earnings call, if you recall, we talked a little bit about $30 million of P&L impact in the 2017 results due to some of the investments and start-ups that we were making during both 2016 and 2017 we should not have in 2018, and we're going to start seeing the benefits of those plans coming into operations. So, we feel very strongly about WFSI will have a much better year than 2017. We see Corn continue to grow, Sweeteners and Starches, the business internationally, and the North American business should be able to maintain the margins that we achieved in 2017. We see, of course, some uncertainty for the calendar year with overall industry ethanol margins, but we are particularly encouraged about the demand side of ethanol, especially from exports, where we think that they're going to grow into China and Brazil this year having been major contributors. For Oilseeds, we are very encouraged how the supply/demand appears to be getting tighter for mill and oil, and we've seen that a little bit through this quarter, and we've seen that in Q1. So, our plants are running hard, and we see a lot the headwinds that we had last year subsiding this year, whether it was the competing alternative proteins or a lot of crush from Argentina or some issues in terms of avian flu and all that that have subsided for the most part. For Ag Services, I think you saw a little bit of this quarter. I think there was very effective management of the business in 2017 we reduced and we optimized some of the operations in Global Trade and we expanded destination marketing. And we're going to see a better result from that, mostly self-help improvements as the year go by. So, we still feel very strongly, as I said, about 2018 in the different businesses. When you put on top of that our cost improvements that we continue to execute on and the benefit of a lower tax rate, we see a very strong 2018 and another year of growth earnings for us.
Kenneth Zaslow - BMO Capital Markets (United States): And my just second question is, when I think about your strategic initiatives over the long term, has anything changed in terms of how you look at where you need to be in a couple of years? It seems like over the last couple of years, you really did focus on value-added products and kind of minimizing or trying to reduce the expansion into Oilseeds. Has that changed? Will that change? What do you think about that going forward for the next two to three years?
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Yeah. Ken, we have a growth strategy and our growth strategy, our growth part of it has three pillars fundamentally that we've been implemented, and I think we've been consistent over the last few years. One was the geographic expansion. We continue to make ADM better balanced geographically, and we've done a good job of completing the value chain in Europe. If you think about six, seven years ago, Europe was mostly Oilseeds business. Now, we have our Ag Services as we bought Toepfer. Now we have also milling in the UK. We also bought Eaststarch and we expanded corn also with Chamtor, and now we have WFSI. So Europe has been built to the extent that the U.S. is built, and now it's a matter of driving returns. We've done the same in South America, but South America is trailing Europe in that regard, and the same has happened with Southeast Asia. So that will continue, but it's very selectively, and we said strategically invest, because we don't want to just invest to be big. We just want to invest to plug holes in our value chain. So that's one aspect. The second aspect was getting to the 25% of Wilmar that we have gotten, and we implemented that last year. And the third aspect of growth was to continue to drive the market-facing units, the growth in it, whether it's food and beverages, whether it's personalized nutrition, whether it's animal nutrition, and we will continue to do so. So those are the three allocations of capital, if you will, and the three strategic thrusts from a growth perspective, and we haven't deviated from that. We opportunistically do one or the other depending (00:34:25) achieving the best returns. But strategically that continues to be the focus.
Kenneth Zaslow - BMO Capital Markets (United States): Great. Thank you very much.
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: You're welcome.
Operator: Your next question comes from the line of David Driscoll with Citi Research. Your line is open.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: Great. Thank you and good morning.
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Hi, David.
Ray G. Young - Archer-Daniels-Midland Co.: Good morning, David.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: Ray, could you just go back over the tax reform benefits. I think you gave a range of 20% to 23% and the 2017 tax rate was 24%. So it sounds like at the top end it's only 100 basis point benefit, but give us some understanding as to how big a benefit the tax reform was? And then I'm sure the range has something to do with the geographic mix, but I'd just like to hear your thoughts on tax.
Ray G. Young - Archer-Daniels-Midland Co.: Yeah. For 2017, David, the rate was 24%, but it was 28% if you exclude some of the discrete items. So, we did have some favorable tax items in 2018. Normally, these discrete items could be plus or minus. Last year 2016, it was a minus. This year, it's a plus. How I would like to think about it is like 28% is kind of like our normalized rate. So, therefore, with U.S. tax reform, we'll go from a 28% type of rate to a 21% to 23% rate. That's how I kind of think about it, David. So, in the context – I mean, just to give you context, so for 2017, if you take the midpoint of the range, say, 20% to 23%, which is 21.5%, relative to 28% on our $1.6 billion of pre-tax profit, it's about $100 million of benefit if you were to apply that into our 2017 results.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: And then because of these tax benefits, was there any change to kind of your investment strategy? Did you reinvest some of this money that you otherwise wouldn't have?
Ray G. Young - Archer-Daniels-Midland Co.: The way to think about it, David, is the additional cash flows, in my example, the $100 million benefit in 2017 if we had tax reform, I would view it in the context of our capital allocation framework. So, therefore, our offering cash flows will actually go up by $100 million. And then we will actually invest that cash into context of our allocation framework, which is, as you know, the three pillars, being there's capital investments, there's return of capital to shareholders, and there's M&A. So, that's how I would be thinking about it. There's nothing specifically targeted towards the $100 million, but it goes into the context of our allocation framework in terms of how we're going to maximize shareholder value.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: Juan, just one question for you and I'll pass it along here, but on Ag Services, this business has been kind of all over the map in terms of quarterly profitability. This quarter looks like a nice quarter. Can you talk about the investment strategy in Agricultural Services? Can you distinguish between CapEx versus acquisitions within the segment, and then just how high on the priority list is any kind of investments or building up scales in Ag Services? How high on the priority list is this versus all your other priorities?
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Yeah, David. So, Ag Services is a very important part of our business. The reason we said before that we were going – and I think we said it in the last quarter earnings, that we were going to deemphasize maybe the capital into that area is because, as we look at the world going forward, the increase in production will come mostly from yield. So for more intensity, more precision agriculture, but about the same area. So we didn't feel that from an Ag Services perspective to keep our share of origination, we needed actually to go geographically to add to our footprint. So we continue to add to make more efficient that chain, to make that seamless integration between the grain business and the processing businesses. And in places where we feel underrepresented or we need some asset, we've been putting the asset. So, the investments in El Tránsito in Argentina we made last in the port, the investment in the Porto de Santos, the investment in the port of – the northern part of Brazil. So, think we've been doing that. We continue to improve our barge line in the Danube River. So, I think it's just a matter of where do we see the need. And at this point in time, we felt the need to build capabilities what's higher in the right side of the value chain versus in the left side, given what we see going forward.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: Thank you. I'll pass it along.
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Okay. You're welcome.
Operator: Your next question comes from the line of Robert Moskow with Credit Suisse. Your line is open.
Robert Moskow - Credit Suisse: Hi. Thank you. Juan, I wanted to focus specifically on your comments three months ago about pulling back on capital spending in Oilseeds. Can you just remind us what that was in reaction to? Was it in reaction to your view of global supply and demand balance being out of balance? And what is your view now, as it is – do you think it's a more attractive balance today than it was three months ago? And then secondly, how much leverage would you be willing to take on to do the right type of acquisition? You've, obviously, become more M&A focused. Most of us thought that single A rating was kind of sacrosanct at ADM, and I wanted to know your thoughts on that. Thanks.
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Yeah. Good morning, Rob. So, let's take the question in two parts. So, the first one is a little bit of continuation of the question from David in terms of our allocation of capital through the value chain. What we felt, as we look at our business, is, as I was saying before, that the left side, if you will, has been more developed over time in ADM. That's why we went geographically everywhere with Ag Services and Oilseeds. Actually, was Oilseeds first and then we back integrated into grain. So, naturally, Ag Services and Oilseeds has been earlier into Europe, earlier into South America and with Wilmar earlier into Asia. So, what we were planning to do with the value chain is actually beef up the right side of, if you will, Corn and WFSI, just because of our lack of volume or our lack of critical mass in different geographies. We are not in Corn in South America, we were not in Corn in Europe, and then we needed to build the value chain to make ingredients with our complete footprint. So, that was a little bit the discussion about we didn't need that much on the left side versus the right side. In terms of our expectation for Oilseeds is, we are running today basically as hard as we can, and we are maximizing every shift that we can to soy in our footprint as long as it makes sense. So we are very bullish about that market in particular. The issue is the business has many opportunities to apply operational excellence and continue to extract more from those plants. And before building new investments, we'd rather debottleneck and make – and continue to build those plants into very integrated facilities. Our facilities are very well-integrated with refineries, with switch capacity. And I think the end game here is, can you grow having your assets more efficient more than just having diverse assets, isolated assets out there? So, we will continue to build that footprint, but that footprint, as you build in existing footprint, makes capital investments more efficient, if you will, than in other places where we need to build a new capacity. So, in terms of the availability of capital, it's naturally shifted to the right not because of any lack of demand on the left side. It's more like what we're trying to build and the footprints we started from. So, strategically, not much have changed in that sense. Maybe on the other one, I'll let Ray – it was about...
Ray G. Young - Archer-Daniels-Midland Co.: Yeah. So, Rob, on the question, we view our balance sheet at ADM as being a competitive strength, and that's the reason why we have maintained a very strong balance sheet. Over time, you've seen us increase our leverage. And as I indicated in the call, we're around 27% net debt to total capital ratio in terms of leverage position, which I view is actually a very comfortable position for our company where we are right now. It is important to maintain a strong balance sheet in order to weather volatility in the markets. We saw what happened in the equity markets yesterday. I mean, these things can happen in the ag commodity markets as well. We've seen in the past whereby commodity price spikes could cause $4 billion to $5 billion increases in working capital. So, therefore, it is important for us to maintain a solid balance sheet with a solid investment grade credit rating. You asked the question, will we ever divert from our A rating, from my perspective, you never can say never, but from my perspective we've got so many avenues in order to raise capital for our company, whether it'd be through some of the monetizations that we've done. We've done partnerships with people. We buy equity. So, therefore, from my perspective, maintaining a solid investment grade credit rating, a solid balance sheet is paramount for us to allow for flexibility in terms of handling working capital spikes, as well as maintaining flexibility in terms of managing our portfolio.
Robert Moskow - Credit Suisse: So, Ray, is that what's factored into your decision to stop the share repurchase at $750 million this year and not extend further, because you thought that the balance sheet was where you want it to be?
Ray G. Young - Archer-Daniels-Midland Co.: Yeah. As I kind of look at the metrics in terms of debt to total capital, as well as debt to EBITDA, we felt that those ratios were approaching levels whereby we felt comfortable. And frankly, I do feel comfortable where we are right now. Now, going forward, as I indicated, in 2018 our plans for share repurchases is reduced more or less to offset dilution. But again, this is all in the context of like what kind of additional cash flows we can generate if we have additional monetizations that we were going to do. That could open up more flexibility to do additional share repurchases as well. So, therefore, again, everything's in the context for capital allocation framework that we announced back in 2014.
Robert Moskow - Credit Suisse: Okay. Thank you very much.
Operator: Your next question comes from the line of Ann Duignan with JPMorgan. Your line is open.
Ann P. Duignan - JPMorgan Securities LLC: Hi. Good morning.
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Good morning.
Ray G. Young - Archer-Daniels-Midland Co.: Good morning, Ann.
Ann P. Duignan - JPMorgan Securities LLC: Maybe this question is for Ray on the back of the lower tax rate. Can you talk about what that does to your weighted average cost of capital for 2018 or long term? And your cost of debt's probably gone up, how should we think about that? And then given that you have a lower normalized tax rate going forward, should we anticipate that your hurdle rate for 200 basis points above the cost of capital is now obsolete and it should be 300 basis points or something different? Could you just talk about that?
Ray G. Young - Archer-Daniels-Midland Co.: Sure. In terms of our annual WACC for 2018, we did go through the analysis in terms of adjusting for tax rates, interest rates, risk premiums, as well as beta. So, we actually went through the full in the month of January. And where we ended up after going through all those numbers is that, we'll be increasing it in 2018 to 6.25% factoring all those various components. With respect to our hurdle rates, as you know, we set our hurdle rates very, very high, well above cost of capital. And in addition, as you know, our long-term return objectives remain at 10%. So when we went through the analysis, even on our long-term WACC factoring in all the updated analyses, our long-term WACC number of 7% is still consistent with what it should be based upon the calculations. But we agree that the short-term WACC or the annual WACC number, based on the revisions of interest rates and tax rates, is going to move up to 6.25%.
Ann P. Duignan - JPMorgan Securities LLC: Okay. And your target then for your own returns for 2018 have gone up correspondingly? Is that the way we should think about it?
Ray G. Young - Archer-Daniels-Midland Co.: Yeah. I mean, as you know, Ann, we always want to strive to get returns well above our annual WACC, so that will be our objective here.
Ann P. Duignan - JPMorgan Securities LLC: Okay. Thank you. I appreciate the color. And then more strategically, we've heard a lot about Section 199A and the law of unforeseen consequences as a result of the tax bill. There is a lot of talk out there that it will get revised. How would it impact your business, both Ag Services and perhaps the ethanol business, if it does not get revised, and what are you guys hearing? What's happening around that?
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Yeah. Thank you, Ann. So, it is clear that it wasn't the intent of the revised 199A provision to make this change in the industry, if you will. And so our team has been engaging in Washington on that, and we have received assurances from senior members of both the Senate and the House that they recognize that Section 199A has significant unintended consequence, and it will be fixed legislatively certainly in the near future. So, I would say at this point in time, very minor impact we have felt commercially. And when you heard yesterday Chairman Brady making expressions about this will be technically revised, I think that have a calming effect on markets, and whether it's coming now or coming in the next month, it's coming in the near future. So, as I said, we have received assurances of that, and we believe that will happen.
Ann P. Duignan - JPMorgan Securities LLC: And if it drags on, Juan, is there a point in time – as we go into spring or summer, is there a point to time where you'll be incrementally negatively impacted potentially?
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: If we didn't act, it will. But, of course, the team has been looking at options and we are working on – in parallel on potential options to offset that. We don't want to go there. We think that technically it will be revised, and that's our main thrust. But, of course, we're not going to sit idle and see ourselves losing share.
Ann P. Duignan - JPMorgan Securities LLC: Okay. I'll leave it there and get back in line. Thank you. Appreciate the color.
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Thank you, Ann. Yeah. Operator>: Your next question comes from the line of Heather Jones with Vertical Group. Your line is open.
Heather Jones - Vertical Group: Good morning.
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Hi, Jones Heather.
Ray G. Young - Archer-Daniels-Midland Co.: Good morning, Heather.
Heather Jones - Vertical Group: Hi. I wanted to talk about Oilseeds. So you're bullish and talked about running your plants as hard as you can. The cash margins that we're looking at in U.S. are showing very significant year-on-year improvement. But I was wondering, the wheat protein content that I've been reading about and beans and all, is that impacting your operating cost or anything. Trying to figure out how to analyze those margins in light of the lower protein content.
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Yeah. No, at this point in time, we continue to see the improving margins. Actually, at this point through all our operations, I would say, whether it's Paraguay when the lower crush in Argentina, whether it's European soy crush, Brazil, North America, so I think that in general, we have seen this wave of improvement. I think that part of the issue is wheat is – their relationship with corn make them less competitive, if you will, to be in the Russians (00:50:52) at this point in time, does not (00:50:54) help soybean mill. So I would say, at this point in time, we continue to see opportunities. I'm very bullish about that business as it develops. We have noticed in some parts of the business a little bit of lower protein, but we don't see a big impact at this point in time that's making change our forecast.
Heather Jones - Vertical Group: And so I'm curious as to why you all think Oilseeds will be down in Q1. I mean, there is a difficult comp in the Asia piece, Wilmar. But you definitely sound far more constructive than you did on the Q4 call last year and honestly, more constructive than you had in a while. So do you just not expect enough improvement in those other businesses to offset that year-on-year comp for Wilmar?
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: A couple of things. You know as our margins expand, sometimes we take negative mark-to-markets, which will have to be reflected probably in Q1. And also, we still have the uncertainty of the biodiesel tax credit, which is difficult to know. Obviously, last year we had it. So far this year we don't have it. So, as we think about that, and as you point the third factor, which is last year Wilmar has an unusual tax impact that they normally won't get this year, so even if their results were good, we will still be trailing last year. So, those are the reasons for my comment of being low versus – or being under last year results.
Heather Jones - Vertical Group: Okay. You said the blenders' tax credit. You guys recognized the benefit from that in Q1 of 2017, because I don't think it was it was in place...
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: No, there obviously was not. (00:52:36)
Ray G. Young - Archer-Daniels-Midland Co.: No, there was no benefit there. And all we're saying is that we're not counting...
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: We're not counting it.
Ray G. Young - Archer-Daniels-Midland Co.: We're not counting it in 2018 first quarter, although there are strong indications that that may get approved sometime in the first quarter. But we're not actually forecasting it in our plans right now.
Heather Jones - Vertical Group: Okay, perfect. Thank you so much.
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: You're welcome.
Operator: Your next question comes from the line of Adam Samuelson with Goldman Sachs. Your line is open.
Adam Samuelson - Goldman Sachs & Co. LLC: Yes, thanks. Good morning, everyone.
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Good morning, Adam.
Adam Samuelson - Goldman Sachs & Co. LLC: So, a lot of grounds has been covered. I guess, I wanted to think about the things that you can control in 2018. Juan, I think, you alluded to $100 million of – I think you called them leakages from 2017 results. Maybe just a little bit color of the areas. I'm guessing it's lysine, maybe WFSI, areas that were a bit more underperforming versus your initial plans in 2017, as well as the cost savings, just the businesses where you actually expect to see those come through. And then I have a follow-up.
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Yeah. So, some of the leakages – and I may get the buckets right 90% of the time, but I would say one important one is what we mentioned in Ag Services, the Global Trade operations. I think the team has done a tremendous job of closing offices that actually did not perform well historically and we have some of that. We have restructured and combined offices in places where there was an opportunity. So there is a lot of cost they are taking out of there and there are improved operations. We have shut down Bolivia and sold Bolivia. We have restructured Peoria in terms of taking 100 million gallons of fuel ethanol out of there. You pointed out, there were a couple of issues in some small acquisitions in WFSI, in the case of SCI, is a very much on trend type of product, all the ancient grains and seeds. They have a very soft first half of last year from a demand perspective, and also we have some operations problems. We restructured that. We split those operations, and they are very, very – much better managed these days. And we have seen demand of that coming back up in the second half, so we – to the point the demand was flat year-over-year, because second half was strong. So, I would say, if you take those combinations, there were leakages in every business, if you will. And we have a portfolio of products that we look at, and we assign an improvement forecast for the following year with actions on that. So it's a very disciplined approach. And this is one of our pillars of that improvement. That package of improvement year-over-year is about $100 million, and we feel comfortable that we have enough actions there to deliver on those.
Adam Samuelson - Goldman Sachs & Co. LLC: Okay. And then the cost savings, kind of – I think it was – kind of where we should see those flow through the results and by business?
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Yeah. I think that in the cost savings, we have this program. We've been running it for – I don't know – five years, six years, something like that. I think that cumulated savings have been about $1 billion already. So this year, we look at that again. It's about $200 million run-rate savings. I would say, normally, Corn leads these, because it has the largest plants. But I would say last year was a strong contribution from also the other three businesses, Ag Services, Oilseeds, and WFSI. I think you're going to see a continuation of Corn and a pickup in Oilseeds in terms of contribution to that. So, that will be the $200 million this year. Lysine, in all that, you mentioned it before, and I would like to give kudos to the team. They make a significant improvement this year in terms of yields, and that we are about halfway those improvements. So part of that will also come in 2018.
Adam Samuelson - Goldman Sachs & Co. LLC: Okay.
Ray G. Young - Archer-Daniels-Midland Co.: Adam, how I would be thinking about this on a year-over-year basis, the $200 million that Juan talks about is a run-rate savings at the end of the year related to our readiness initiatives. We also have some of the benefits from 2017 that will flow into 2018. And actually some of these savings we actually reinvest back into our business, as well as there's going to be offsetting inflation. So, how I would be thinking about the cost savings, Adam, is year-over-year from 2017 to 2018 the net pickup in terms of cost savings will be about $100 million. That's how I would be thinking about from a modeling perspective.
Adam Samuelson - Goldman Sachs & Co. LLC: That's some helpful color. And then just a question on the Sweeteners side. I think you had some constructive comments on the international components, the expansions that you've done in Europe and some of the acquisitions. I didn't hear a lot about the North America business. Maybe just any thoughts on how the liquid sweetener contracting for 2018 has taken place and kind of the competitive changes in the market with the new sugar agreement that's kind of rolling in through the balance of 2018 in the U.S. and Mexico?
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Yes. So, Sweeteners and Starches continued to do well in North America. If we look at the combined demand, if I look at the combined demand for wet milling products in North America, combined domestic and export, was up modestly in 2017 versus 2016. So we still see our capacity being pressured there. Total demand actually for liquid sweeteners in North America was also up slightly year-over-year. Overall, I would say, we are pleased with the mix of sweetener contracting in North America for 2018, with pricing that will protect our overall North American margins in line with 2017. So, we continue to see positive developments there.
Adam Samuelson - Goldman Sachs & Co. LLC: Okay. That's all. That's very helpful. I'll pass it on. Thanks.
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Okay. Thank you, Adam.
Operator: Your next question comes from the line of Eric Larson with Buckingham Research. Your line is open.
Eric J. Larson - The Buckingham Research Group, Inc.: Yeah, good morning, everyone, and thanks for taking my question. First...
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Hi, Eric.
Eric J. Larson - The Buckingham Research Group, Inc.: Thanks, guys. First, maybe I missed this. This is probably a question for Ray. Did you give us what your CapEx spend is supposed to be for what you're targeting for CapEx spend 2018?
Ray G. Young - Archer-Daniels-Midland Co.: Yes, it's $800 million. We talked about that in the last quarter as well. And as we finalize the plan, we believe the $800 million level would be the right level of CapEx for 2018.
Eric J. Larson - The Buckingham Research Group, Inc.: Okay. And then when you kind of look at – we haven't had an ethanol question, but Juan did allude to the fact that they're encouraged with a strong demand function. I think we entered the 2017 with about $1.3 billion of exports. Give us an idea of what you might think that number could be for 2018.
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Yeah, Eric, we estimate exports last year probably ended a little bit higher maybe than $1.3 billion. Our team would probably put it at $1.4 billion. We saw a pickup late in the year into exports to China or Brazil. And we see that drive in 2018 to probably a number between $1.6 billion, $1.7 billion. Brazil, China coming back to big exporters into big importers from U.S. and continue with some of the traditional destinations, Canada, India, Gulf States. So, we see strong demand in Brazil and we see China driving into their 10% and not having enough capacity to supply that. So we will have China and Brazil for the next two or three years being big importers from North America ethanol.
Eric J. Larson - The Buckingham Research Group, Inc.: Okay. And then just kind of a final kind of 30,000-foot overall question with kind of the Ag Services division. Obviously, we still have a lot of global supply. Looks like we're still going to – that's going to be one should be conservative when you look out for the next year as well on that. But it's also interesting that we're seeing some corn production coming out of the Ukraine. It looks like China is down a little bit. It's looks like Brazil could – it looks like we're not – it's not really visible, but we might be on a path of road to maybe getting some lower carry overs in the Corn area. Is there any semblance that that could be an improvement for your overall Ag Services for next year?
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Yeah, Eric, I think if we go around the world, and you mentioned some of them in your comments, we already know enough probably to conclude that 2018 weather will be less favorable to crops than it has been – that weather has been over the last four years. So, whether it's Argentine dryness or whether it's the South Plains here or whether it's a little bit of Russia or Australia commentary or whether it's South Africa having a drought and impacting corn, we see things tightening up a little bit at the time when demand continues to be very strong. So, that could bode well for Ag Services business, yes.
Eric J. Larson - The Buckingham Research Group, Inc.: Yeah, I think that is something to watch closely. Okay. Thank you, everyone.
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Thank you, Eric.
Operator: Your last question comes from the line of Farha Aslam with Stephens, Inc. Your line is open.
Farha Aslam - Stephens, Inc.: Hi. Good morning.
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Good morning, Farha.
Ray G. Young - Archer-Daniels-Midland Co.: Good morning.
Farha Aslam - Stephens, Inc.: Juan, you've talked about harvest investments in your Chairman's perspective. Could you share with us what your key investments are, and kind of what harvests or benefits we expect in 2018 from those investments?
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Yeah. Well, there are many. I can go through the different businesses. So, we're going to have the full year of some of the acquisitions that we made, whether it's Chamtor or Crosswind, in pet treats or industry centers in the destination marketing. We're going to have Campo Grande, the largest specialty protein complex that there is that we started in South America. Those are six plants into one complex, and that took us the last 18 months to bring into production and we're going to have a full year of that in 2018. We will have the benefit of Tianjin. We're going to have the Fibersol plant having a full year of operation. We have expanded our color plant in Berlin. We are expanding some of our Eaststarch facilities in Eastern Europe. So, there has been many (01:03:58) around our business. And that's why I always remark that I'm very proud how we manage cash flow and we manage earnings on these two years of soft commodity markets, if you will, while we were heavily investing. We thought that – I explained to all of you before that some of the valuations in the market did not justify have to go into big hunting for M&A, and we decided to go organic growth. We took a hit in the P&L over the last two years in that, and we believe that all that is coming on stream. Of course, you don't make money day one the moment you turn on a plant. So our forecast will be more back-end loaded as these plants ramp-up and they start to be completely sold out, but we believe that all that will contribute in 2018. And that's why our forecast, going back to the original question from Ken, is our forecast go from a relatively more flattish Q1 to a higher expectation for calendar year 2018 as a whole versus 2017 is because of this ramp-up of some of these investments.
Farha Aslam - Stephens, Inc.: That's helpful. And just some more detail on ethanol. So you in the fourth quarter were short ethanol. And now kind of going forward, could you talk about some of your color on hedges and your outlook and kind of how that market will develop, and any color on how you think profitability for the year will flow for ethanol and what you think about the divestiture of those ethanol dry mills?
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Okay. So let me see if I can cover (01:05:45) all that. The team did very well in Q4 managing the end of the year. And as we look at what happened now, so margins were not very good going into this quarter. And, of course, as always happen during this time of the year, plants in the industry don't run that well in the winter. They run at a slower capacity. And this shows when the industry have some discipline, if you will, in productions, margins start to climb up, driven mostly by exports, steel, gasoline domestic demand is not something to write home about, but exports continue to be good. So, in that sense, we expect a little bit of better margins now. Then we're going to have the normal development every year, which is refineries and everybody goes into maintenance in preparation for the dry wind season and, hopefully, we're going to have a good dry wind season, and we're going to see margins come up into the summer. Then we're going to produce too much in the summer, like we do every year, and maybe margins temper towards the end of the year. In terms of our progress into the ethanol dry mills, we made the restructuring into Peoria, and I would say we will continue to look at opportunities. We are engaged with people, but we're not going to make any decision that is bad for our shareholders. We don't have a rush to do anything here. We make cash flows. So, strategically, we're not going to build one building the next dry mill. And at the right time, at the right – in the right conditions, we are planning to divest or joint venture those dry mills. At this point in time, nothing to update you on.
Farha Aslam - Stephens, Inc.: That's helpful. Thank you.
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Thank you, Farha.
Operator: This concludes the Q&A portion of our earnings call. I would now like to turn the call back over to Juan Luciano for closing comments.
Juan Ricardo Luciano - Archer-Daniels-Midland Co.: Thank you, Jack, and thank you all for joining us today. Slide 15 notes some of the upcoming investor events where we'll be participating. As always, please feel free to follow-up with Mark if you have any other questions. Have a good day, and thanks for your time and interest in ADM.
Operator: Today's conference call has been completed. Thank you for your participation. You may now disconnect.